Operator: Daniel, you can start now.
Daniel Fairclough: Thank you. Hi. Good afternoon, everybody. Welcome to ArcelorMittal's Q3 2018 Analyst and Investor Call. This is Daniel Fairclough from ArcelorMittal Investor Relations team. And I’m joined on this call today by our Head of Finance, Genuino Christino. We are here to answer your questions on the results published this morning. So as usual, this call is being recorded. Hopefully everybody have the chance to read earnings statement and the supporting Q&A document and the presentation with the detailed speaker notes, all of those were published on our Web site this morning. So the plan today is for the call to last around 45 minutes or so to address any questions you might have on those results. We are going to answer the questions in the order that they’re received. [Operator Instructions]. So with that, very brief opening, Genuino and I are ready to take your questions. And I think we’re going to start with Ioannis at Macquarie.
Q - Ioannis Masvoulas: Gentlemen, a couple of questions on my side. First of all, on the Essar Steel, I appreciate the deal has not closed yet, but could you perhaps provide rough guidance on the upfront balance sheet impact? And whether you have hedged the currency risk? And also within that have you see -- you lower your long-term growth ambition from ₤20 million to ₤15 million. Could you perhaps elaborate the underlying reasons and discuss whether you need to own an EPC business to deliver the Brownfield expansion? And I will leave it there. Thank you.
Daniel Fairclough: Great. Thanks, Ioannis. So to talk about the impact of Essar on the balance sheet, obviously we published a press release detailing the offer that’s been accepted by the committee of creditors. And so we’ve a payment to the creditors of $5.7 billion and we also have a $1 billion payment to the creditors of UG and KSS which we agreed previously. And then there was a $1.1 billion equity injection into the joint venture in order to kick start at a turnaround, the improvement and the CapEx cycle. As we talked about previously, the expectation is that that JV will be funded on a ratio of 2 to 1 in terms of debt to equity. So two-thirds of the numbers that I just talked about will be funded at the JV level with debt and one-third will be contributed by the equity partners, ourselves and Nippon Steel. So hopefully that gives you the right sort of frame work to be calculating the impact that you’re going to see on our balance sheet in terms of cash flow and net debt, assuming we close this by the end of the year. I will let Genuino talk about hedging.
Genuino M. Christino: Yes. Thank you, Daniel. Ioannis, so as you can appreciate this is really market sensitive. So we are not really in a position to comment right now on the hedging.
Daniel Fairclough: And just to be clear in terms of a plan for the asset, a mid-term or medium term plan is to obviously improve the production level to 8.5 million tons, that’s what we’ve committed to as a medium term objective in our resolution plan. And the resolution plan sees a medium term to long-term ambition to take the capacity up to 12 million to 15 million tons. So the intention is to obviously use Essar as a vehicle to participate in the growth that’s anticipated in the Indian steel demand and production. And its significant prospects which we all know about based on the current relatively low levels of steel intensity and per capita consumption in India today and roughly a third of global average levels. So a lot of expectation for growth in the years to come and Essar will provide us with a vehicle to participate in that growth. So move onto the next question from Alain at Morgan Stanley, please.
Alain Gabriel: Yes. Good afternoon, gentlemen. Two questions, if I may. Firstly on the profit produced between Q3 and Q4. It seems that you have incurred a few one-offs in Q3 such as the hyperinflation adjustment, operating stoppages in Europe and if I am not mistaken in the U.S. is it possible to quantify those "one-offs" to see how the profit bridges will evolve?. That’s one. And two, we had a November now and I presume you to have a good overview of your CapEx guidance for 2019. Can you give us a flavor of the ranges of spending do you expect to incur next year? Thank you.
Daniel Fairclough: Yes. So let me try to address your first question, Alain. So, yes you are right. The management team and so we had now for the first time the impact of hyperinflation and that's about $100 million. It's hard to predict whether this is going to repeat in quarter four. I would expect no. It -- only the reason why it happened this quarter is primarily because you have a disconnect between how you index the local financials for in pesos and the translation, so there is a disconnect between the exhilarating moment and the inflation news for the indexation. So to the extent that in quarter four that is to stabilize then you are not going to have a repeat of that impact and we have a normal contribution from our Argentinean business. And in terms of the operational issues that we experience in Europe in Q3, roughly this is about 400kt. And we would expect -- we expect that this will not reoccur in Q4. So we would expect our shipments in Q4 for Europe and for the Group as a whole to be excluding any impact that we will have from Ilva to be at similar levels as we saw last year. And then after the wait-and-see approach that we experienced in Q3 also meant for us about 400kt, not only in U.S but also in Canada and probably a little bit more pronounced in Mexico. So we would expect based on what we can see right now in our order book we will not expect that to reoccur and then looking to Q4 we would expect our shipments and after to be stable compared to Q3, given that as you know in Q4 traditionally we have some seasonality in NAFTA.
Daniel Fairclough: Does that help, Alain?
Alain Gabriel: Yes. Follow on -- a quick follow on this question. I think you also have some operating issues at the mining division as well. Is it possible to just put a number behind the impact, the dollar impact in Q3? That's the first part of my question.
Genuino M. Christino: Yes, so in Q3, Alain, you see that our shipments, our marketable shipments were down. I think primarily we had two issues. One was the wet season in Liberia, which we hope it will not repeat in Q4. And then we have also the -- some of the issues that are coming from the peaked issue that we announced in Q4 of last year 2017. So we have been shipping from -- little from inventories. And that's why you see now this reduction in the shipments also coming from Mines [ph] Canada. So today we are -- our run rate there is back to the normal levels. So we would expect production to be back to the normal levels in Q4. However, we are not going to be able to recover the shipments that we lost during Q3 and that's why we are revising our guidance of marketable shipments from 10% to 5%.
Daniel Fairclough: Great. And just to comeback on your question on CapEx, Alain, for 2019, obviously we will give you some firm guidance with our full-year results. But I think directionally clearly CapEx is expected to increase next year. If you stay back to our Q2 results, we did announce at that point that we were going ahead with our downstream expansion at Vega in Brazil. We also talked about the study that we were doing to potentially look to a concentrator at our Liberian iron ore operations. We are still waiting for the detailed feedback of that study before the Board moves forward with a decision. And the bigger driver is obviously going to be Ilva and so we’ve the confirmation today that we have taken ownership of Ilva. And so if you think about 2019 versus 2018, there will be a step up in our CapEx just reflecting the Ilva work that we are going to be undertaking. So hopefully you can see some of the components there. But as we say, [indiscernible] our results in February, we will give you a much more detailed overall picture. Great. So we will move to the next question please from Seth of Jefferies.
Seth Rosenfeld: Good afternoon. Thanks for taking my questions. I have two on the U.S and then one specifically on Ilva. On the U.S., on the NAFTA business, obviously your NAFTA operations have been hit by tariff being material across U.S., Mexican and Canadian borders. Can you quantify how much was tariff costs to you? And if 232 changes to quote as rather than tariff, in aggregate would that hurt or help your NAFTA business? Secondly, within the NAFTA realm, can you recommend at all about auto contract negotiations? We have heard from some of your peers, some constructive outlook going into 2019, but we have heard from the automakers more pushback in their ability to control that costs. Do you see a tighter margin on the back of auto contracts? And then, I will let you start with that and I will come back for one question of Ilva, please.
Daniel Fairclough: So, Seth, let me take your first question on the impact of the tariff. So in Q2 we have the -- basically one month of the impact, right, because for Canada and Mexico the tariffs kicked in 1st of June. And now in Q3 then you have the full impact of that already in our results. So in terms of quantification, basically quarter-on-quarter it's about $60 million negative to us. But overall, I think it's important to -- I think it's clear that net-net section 232 is a benefit for us.
Genuino M. Christino: And on the topic of auto contracts, I think obviously 2018 has been a good year for ArcelorMittal and the steel industry. But an area of our business that hasn't really seen a significant improvement is the auto volumes, because we haven't had a major opportunity to reprice those tonnes. So we are obviously starting the negotiations for quite a lot of that business because a majority of those tonnes which reprice on the 1st of January basis, and the -- so they reprice on the 1st of January, so we’re renegotiating those contracts now and I think we go into those contract negotiations with a lot of optimism. The industry significantly improved over the past months. If you look at where steel prices are today versus where they were 12 months ago, that's a positive sign. There is raw material inflation which we need to factor into those contracts as well. And finally, we are consistently providing innovative solutions for our customers to help their -- to help them achieve their objectives, that's costing us money in terms of R&D dollars. It's costing us money in terms of the CapEx that we need to spend in order to have the industrial capacity to provide those solutions. So it's only fair that we are compensated for that. So all told, I think we are going into those negotiations so to say with a degree of confidence.
Seth Rosenfeld: Of course, then changed EBITDA accretive year one on 2016 conditions, clearly the European market strengthened a lot since then, although it seems like Ilva's performance has perhaps deteriorated. Can you give us any sense on how you expect Ilva margins to compare to core Mittal Europe in the coming years? And then when we take into account the non-disposal remedy assets should we still expect net-net earnings accretion or where there be something different in that, at least in the early years? Thank you.
Genuino M. Christino: Yes, thanks. So just to confirm what we said previously which is we expect Ilva to be EBITDA positive in the first year, free cash flow positive in the third year. Yes, I think it's fair that the operating performance of that business has deteriorated over the past months, but at the same time the overall industry conditions have improved versus where they were 12 months ago. So we are happy to reiterate that expectation and plan to be EBITDA positive year one, free cash flow positive year three. In terms of the net-net impact, the integration of Ilva versus the sale of the remedy assets, to be honest, I think that's going to be a wash. So the EBITDA that we gained in year one from Ilva should offset to the EBITDA that we are selling through the remedy asset package.
Seth Rosenfeld: Great. Thank you very much.
Daniel Fairclough: Great. So we'll move to next question please from Cedar at Bank of America.
Cedar Ekblom: Thanks very much. Follow-up questions on Ilva, please. Can you talk about the quantity of shipments that you’re divesting in Galați and Ostrava and compare that to the current shipments at Ilva. And then also talk about the upside to Ilva's shipments over 2019 and 2021? And then can you also just follow-up on where we are with the remedy assets outside of those that have been agreed to be sold to Liberty House. How is that process shaping up? Thanks.
Daniel Fairclough: Yes. So I think in terms of the shipments from the assets that we’re selling, it's based on the 2017, it's very similar number. So that shipments from the remedy assets are very similar to the performance of Ilva. Obviously, I just noted in the previous question that the performance of Ilva we believe is deteriorated over the past 12 months. And so that's something that we will need to address and we'll need to improve upon, and that's a major part of our undertaking and our ability to turn around and improve that business. And what we are planning in terms of our shipment plan, is obviously a near-term plan to ship 6 million tons from Ilva, and then gradually as we -- or not gradually, but once we have executed our environmental improvement CapEx plan, that will allow us to move to a higher level of production and shipments. So once that plan is complete, then we will be able to step up the production and shipments from Ilva towards 8.5 million tons.
Cedar Ekblom: And then other remedy assets? Anything to say about that?
Daniel Fairclough: On the remaining asset sales, that's imminent. So we are making a good progress I think there on that -- on the sale of the remaining rolling assets in Luxembourg and Belgium.
Cedar Ekblom: Daniel, how do we think about the importance of those assets in the total remedy package? I mean if you look at the last book value of those -- and then the impairments you have taken book value is sort of 1.3 billion for the entire remedy asset group. Can we assume that the majority of that sits with the upstream assets at Ostrava and Galați?
Daniel Fairclough: Yes, that’s a good assumption, Cedar.
Cedar Ekblom: Okay. Thank you.
Daniel Fairclough: Great. So we'll move to next question from Bastian at Deutsche Bank, please.
Bastian Synagowitz: Yes. Good afternoon, gentlemen. I’ve got three questions. And my first one is a quick one on NAFTA. If we look at your ASPs, they develop pretty much as they probably sort have been in this market environment. But then if you look at costs on the other side, they have been up much more on a per ton basis. What has been driving this, because feels like this has been much more than we could explain, but just the lower fixed cost illusion variable cost and tariffs. And then, my second question is on market dynamics. You’ve been obviously talking a little bit about this customer standoff giving the market dynamics and the falling prices in markets such as peers. Has this come to an end already or do you continue to see the markets being rather a little bit in the slow mode? And then my last question is on just on product mix. Is there anything we have to keep in mind with regard to the fourth quarter? Thank you.
Daniel Fairclough: Yes. So, Bastin in terms of your question on NAFTA, basically -- I mean if you look at where the profitability where we show quarter-on-quarter, you will see that it's really volumes and offset by higher pricing. And that's basically the in a nutshell, plus of course the impact of section 232 that we discussed, that's basically bridge your results. We talk a little bit about the weakness in Mexico also impact our long business -- primarily our long business in Mexico, that is also a component there. And that's basically what we see. In terms of prices, yes, I think as I am sure you are all aware most of the players announced price increase. And based on what we can see, we feel that -- those are sticking [ph].
Bastian Synagowitz: Okay. Thank you. And then on product mix, please?
Daniel Fairclough: In terms of product mix, there is nothing that other than maybe what we need to factor in, in Brazil in Q4 is that traditionally -- given this is analogy, you have a higher exports traditionally. So that is something that I would highlight to you.
Bastian Synagowitz: Okay. Thank you.
Daniel Fairclough: Great. Thanks, Bastian. So we will take the next question please from Rochus at Kepler.
Rochus Brauneiser: Yes, hi. Thanks for taking the question. Can you elaborate on the cash need for 2018? When I look at the run rate of your CapEx and of your cash taxes, so you're actually well below that guidance you have given before. So shall we expect a certain shortfall in this original plan or is there a massive rise on both sides? The second question is on this Argentinean thing, you have done this inflation accounting rather than proper asset impairment. Maybe can you explain why this is not being done sort of an asset impairment? And thirdly, for the working capital release and the first quarter you have given credit big range between 1.2 billion and 1.8 billion, as we are now already in November, what are the main elements for creating that uncertainty for the rest of the year?
Daniel Fairclough: Okay. Rochus, let me -- in terms of the cash needs, so we are as you can see in our Q&A and we’re reconfirming the 5.8 billion. So, yes, you’re right. So CapEx traditionally we have a larger chunk of our CapEx coming in Q4. So we feel comfortable with the guidance of 5.8 billion. In terms of Argentina, impairments and hyperinflation, these are two separate things. And in fact that you apply hyperinflation it doesn't mean that you have to impair your assets. That could be done to exercise impairment review, it will be done as we always do in Q4. But one thing it has no correlation with the other. And in terms of our [indiscernible] I think the key driver is really as we see every year, so the -- the fact that we’ve the release in Q4, it's part of the -- this is an analogy of our working capital. And the key drivers will be a reduction of metal stock that as you have seen in Q3 we built inventories. So in Q4 we have a release as we improve shipments. And then traditionally in December, because of the holiday season, issues less compared to where you were in end of September. So those I would say are the main drivers for the working capital release, so it's a reduction in metal stock and it's a reduction in volumes for the last, let's say, 15 days of December vis-à-vis September. And the range, as I hope you appreciate, there are so many elements here that it's very hard to be precise. So that's why the range.
Rochus Brauneiser: Okay. Maybe one brief follow-up on Essar. What is the residual legal risk you're seeing that deal is not materializing at all?
Genuino M. Christino: Yes. Thanks, Rochus for the question on this topic. I think it's important that it gets asked. From our perspective, we had a way the positive development in the recent weeks. The news that we’ve been selected by the committee of creditors as the winning bidder for Essar. So we now move to the final stage of the process, which is having a resolution plan approved by the ENCLT. So throughout the process that's been laid out, we followed that process. There was a Supreme Court ruling which we followed, and so we expect the process to continue to follow the clear terms of the IBC. So next up, and CLT approval, that's the final step, hopefully by year-end and really we don't see any legal grounds on which the committee of creditors decision could be challenged.
Rochus Brauneiser: Okay. That's very good.
Daniel Fairclough: Great. Thanks, Rochus. So we will move to next question please from Carsten at UBS.
Carsten Riek: Thank you very much. Three questions from my side. The first one is on your outlook, which is comparatively constructive to what we have seen across the board in the third quarter. Could you elaborate what are -- what's is the driver of this constructiveness as the market seems to worry about the -- at least about the price direction and the earnings direction. Second question is on the net working capital. The high net working capital seems to be mainly in NAFTA and ACIS. Could you tell us what caused the buildup other than the higher U.S steel prices? Where there any other elements, especially in ACIS, which caused a rise in net working capital and is that being reversed in the fourth quarter? Thank you.
Daniel Fairclough: Great. Thanks, Carsten. So before Genuino come back to you on working capital, I will talk about the outlook. So the reality is that business conditions remain favorable. Demand is growing. utilization rates are high and high utilization rates are supporting healthy steel spreads and that continues. If you look at the indicators, they are continuing to support an outlook for positive demand growth. So, yes, the PMI readings on an aggregate basis, have come off the high levels that they were in Q1 and Q2, but they are still comfortably above the 50 level, telling you that demand continues to expand. And I think if you look more broadly and the economic indicators and forecast for 2019, are also suggesting growth. And for all it's worth, the Steel Association came out with their forecasts in the past couple of weeks and they’re forecasting growth in all of our core markets. And so, obviously we will be detailing our growth forecast for 2019 at the time of our full-year results and so far, the WSA have put their numbers out. And so I think hopefully that gives you some context to -- around the outlook for the business, but happy to go into more detail, if you would like.
Carsten Riek: Thank you. Maybe just on the U.S market it's stated in your press release, that you have seen a weak U.S market, which given that where we are pricewise, was a bit of an interesting comment. Is that weakness with regard to demand or is that just weakness because of -- of inventory release in that market?
Daniel Fairclough: Yes, I think you're absolutely right. So it's a contrast really between apparent demand and the robust underlying demand. So we can all see the robustness of the U.S economy, the strong GDP trend for this quarter. So the real underlying demand indicators are very positive. But what happened during the third quarter is obviously steel pricing started to come down and when steel pricing comes down in the U.S market, where possible, buy as well sit on their hands, step to the side and allow the price to drop and reduce their inventories and look to come in at a lower price point and replenish their inventories then. What we said in the previous call, Genuino -- previous question, Genuino addressed was we increased our prices just a couple of weeks ago and transaction prices in U.S market have moved up. And so that should be a positive signal for that.
Carsten Riek: Okay. Thanks.
Genuino M. Christino: Carsten, one of your question is on working capital, maybe if I can start with CIS. So you're absolutely right. So what happened in CIS this quarter was that to increase our production, which is good news as we, as you know, we faced operational issues in Kryviy during first and second quarter. So during those quarters we were selling also from inventories. As we recorded from those operational issues in Q3 and the increased production as you can see by about 15% in CIS, we were forced to replenish our inventory levels. So what it means is as we move now into Q4 and we don't need to replenish inventories anymore in our production remain at normalized levels, we are going to be able to ship much more. And that's why we're guiding for higher shipments in CIS in Q4.
Carsten Riek: Okay. Thank you very much.
Daniel Fairclough: Great. Thanks, Carsten. So we will move on to the next question please from Luc at Exane.
Luc Pez: [Technical difficulty] couple of follow-ups if I may. You mentioned the potential approval of a new concentrator in Liberia. Would it be possible to have ballpark quantitative guidance as to what kind of CapEx we’re talking here? That would be my first question. And second question, could you confirm that Gangra will be included in the JV? And what are the kind of synergies you can distribute, that you’re targeting by including these assets into the JV? And last, but not least maybe you were also referred as bidding for EPC construction, which is related to Essar to some extent. What can you say around this? Thank you.
Daniel Fairclough: Great. Just addressing the Essar question first, I think the -- it should be clear that the intention is that the investment in Uttam Galva [ph] will be a part of the joint venture and funded by the joint venture. So hopefully that's clear. And the second point around ESP etcetera, this is the headline came out early this week and we chose not to comment then and I think it's inappropriate to comment today on any market speculation in India or any in other markets. But the reality I think is that with the $1.1 billion of funding that we are putting into the joint-venture, it's going to be a very well-financed business and with all of the capacity and capability to do what it needs to do strategically and CapEx wise to realize the potential of the joint venture.
Genuino M. Christino: Let me -- just a couple of minutes on the synergies between UG and Essar. So UG is basically a downstream business. So it fits very well in the overall footprint in Essar and UG. So Essar has more HSC capacity, so that we are going to be able then to roll in UG. So we believe that there is an important synergy to be captured once we can have the two business together. And in terms of the concentrator, I think we are at a very early stage, so we still going through the engineering phase. So will not be the right moment to talk about or to try to quantify amounts. I think this will come as part of our next quarter release. Luc?
Daniel Fairclough: Maybe Luc, just to highlight a couple of points though that we already have a lot of capital equipment on the ground and we have effectively half built concentrator, so a lot of capital agreement sitting in boxes. We obviously also have the infrastructure which is already there to handle more volumes from Liberia. So if you were to think about the CapEx intensity of the potential growth of our capacity in Liberia, it is low. So it's we are considering a low CapEx intensity at Brownfield expansion of our Liberia capacity to produce what would we hope to be a very high-quality product. So hopefully that gives you some more context to how we are thinking about that potential investment decision assuming that the feasibility study comes back positive.
Luc Pez: Thanks.
Daniel Fairclough: Great. Thanks, Luc. So we will move to Francisco at Banco de Sabadell.
Francisco Rodríguez: Yes. Hello. Good afternoon. I have two questions, please. First one will be regarding working capital, we have already discussed about inventories. I can also see an important decrease in your trade payables. I don’t know if there's something that you would like to comment about. The second one will be on your cost in CIS, it has a very good performance this quarter. And I would like if you can give us some more color on that issue and if it's something we should see also in the next few quarters? And the last one will be regarding Europe and Brazil. If you could comment a little bit on what are your expectations going into Q4 and 2019? Thank you.
Genuino M. Christino: Yes, Francisco, on your first question on working capital, you’re right. So we see a reduction in payables. This is just a function that once you increase your metal stock, you don’t have -- so then part of your payables just they get automatically reduced because it's an increase of your metal stock and not raw materials and things like that. So here what we see is with an increase of metal stock. In terms of CIS, one of the two drivers I would mention this quarter, one, of course is the civil operations in Ukraine, that helps of course from a cost point of view. And second the FX. So we had a significant devaluation in most of CIS countries. So, just if you look at the rand, what’s 12% depreciation ruble, so all of the currencies depreciated which of course then help this business to the extent that they’re competing in the export markets. So that is -- there is a positive. In terms of Europe and Brazil, I think we really talked a lot about those -- the trends for Q4. So we talked about how we see shipments evolving. You have already a good channel on show -- on causes and prices. So I think you have all the elements you need to come up with your forecast.
Francisco Rodríguez: Okay. Thank you.
Daniel Fairclough: Great. Thanks, Francisco. So we will move to Phil at KeyBanc, please.
Philip N. Gibbs: Thank you so much. Daniel I know it was -- you talked about a couple of times in terms of the specific weakness that you called out on the United States in the third quarter. Was this perhaps buyer strike phenomenon specific to your automotive customers or was it broad-based? Because I know auto is a big part of your book.
Daniel Fairclough: I don’t know it's a more broad based comment. It's not industry specific.
Philip N. Gibbs: It's nothing more than commentary just related to your volume. There is nothing related to pricing or spreads that you're making here?
Daniel Fairclough: Yes, it's -- the reality is that we had those two effects. So pricing was declining and order book shorter because in a falling price environmental you effectively have whether you want to call it a buyer strike or short-term destock, you have this sort of temporary phenomenon where the volumes in the market come down considerably. So that is what we experienced as we went through the third quarter and it impacted our results. But as I say, given the year positive underlying real trends for demand, we see it as a temporary phenomenon and rather than something that we are more concerned by.
Philip N. Gibbs: And just the second question, if I may. In terms of what your sense is on the Chinese steel markets moving into the fourth quarter. I know that there is some being written about them throttling back production in some regions for environmental and seasonal reasons, some others that are counter [ph] to that view. Just curious in terms of what you are seeing, because I know you have operations there and obviously compete against them across the world? Thanks.
Daniel Fairclough: Yes. So fundamentally I think the indicators are positive. If you look at where utilization rates are, if you look at where production rates are in China and then cross-reference that with the very low levels of inventory and the year-on-year production in exports and the fact that pricing in the market is still a very healthy, in particular for rebar where the spreads are still very, very healthy and indicates about the underlying conditions in the Chinese market are still very healthy. And then it is the 1st of November today, so it is the first day of the winter shutdowns, so you're now going to have a an enforced sort of constraint on production within the -- pretty much across the industry. It's a more targeted, more nuanced approach than we had 12 months ago. But it is a broader program and so although some companies will have a more limited impact, because they have been able to improve their environmental performance over the past 12 months which is their whole idea of that program. And so there will be some exclusions because it's a broader plan at the impact we feel on capacity and production will be very similar to what it was 12 months ago, so through last winter. So, yes, we should expect to see that come through in the productions that’s in the coming weeks and months.
Philip N. Gibbs: Thanks, Daniel. Cheers.
Daniel Fairclough: Cheers. Thanks, Phil. So we will move to the last question from Christian at SocGen.
Christian Georges: Yes. Thank you very much. I missed over the first 10 minutes, so if I repeat a question you already asked, I apologize. I only have two of them and they’re quite short. The first one is on your CapEx for Q1. I know you mentioned it, but it's always the fourth quarter which gives the highest level, but over 40% of your annual core CapEx is coming in the last quarter. So my question is whether it's an accounting thing or whether there's some potential disruptive CapEx taking place in that quarter? And if so, where is that may be? And the second question is on the hyperinflation accounting in Brazil. I mean for the first time we get a negative amount when we -- if we multiply the average pricing provided with the shipments, we get more than your turnover. So the question here is simply, should we expect a potential negative impact in fourth quarter -- in the first quarter, because this accounting or whether that’s irrelevant? And the last thing is on your European costs, which for the third quarter in a row which seem to be much higher than we were last year, over nine months. So my question is are the two higher costs in Europe: a, FX, and b, iron ore? Am I right in thinking which are the highest costs year-on-year? Thank you.
Genuino M. Christino: So, Christian, on CapEx, I think if you look back year after year, you will see that Q4 traditionally is the quarter where we have the highest spent. And this is just how it works. I mean you have your budget cycles happening now actually and the projects get approved, then they go out and we start placing the orders. Takes time for you to start to see the materials being delivered to you. So we are comfortable with the guidance. So we have reconfirmed our cash needs, which includes CapEx. Of course, I mean, at the end of the year you can always be a little bit higher or lower, but fundamentally the cash needs of the business remain what we’ve guided at the beginning of the year. And the hyperinflation we talked about it. I think this is a new phenomenon. This is in Argentina, that's the first time that hyperinflation accounting has been applied. And it's just a back -- its a result of Argentina now inflation over the last three years reaching 100%. So that’s a negative development of course for the country and we have to reflect that in our books. Going forward, going into Q4, we also discuss that the impact should not be as extreme, because it's really a function of how the peso moves, the FX and the indexation that is used to update your financials in Argentinean pesos. And in terms of European costs, you also ask, so this quarter in particular, we have the translation impact that I can quantify it for you. So that it's about 30 million impact in our costs this quarter. Other than that …
Christian Georges: Thank you very much.